Operator: Good morning, my name is Will, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Third Quarter 2013 Earnings Conference Call. [Operator Instructions] Thank you. Amy Giuffre, you may begin your conference.
Amy Giuffre: Thank you, Will, and welcome to Harley-Davidson's third quarter 2013 earnings conference call. The audio for today's call is being webcast live on harley-davidson.com. The supporting slides can be accessed on our website by clicking on Company, Investor Relations, then Events and Presentations. Our comments today will include forward-looking statements that are subject to risks that could cause actual results to be materially different. Those risks include, among others, matters we have noted in our latest earnings release and filings with the SEC. Harley-Davidson disclaims any obligation to update information in this call. This morning, you'll hear from Harley-Davidson's CEO, Keith Wandell; CFO, John Olin; and President of Harley-Davidson Financial Services, Larry Hund. Then we'll open the call for questions. So let's get started. Keith?
Keith E. Wandell: Thank you, Amy. Good morning, and thanks for joining us today on the call. As you saw in the earnings release, Harley-Davidson had a great third quarter. We had strong financial performance; we had strong 2014 new product launch, which resulted in good retail sales; and we celebrated the 110th anniversary in Milwaukee. And all the credit goes to our employees, our dealers and our suppliers, who all continued to do an outstanding job of delivering on our key strategies and manufacturing, product development and retail. All of these folks come to work everyday with a relentless focus on providing our customers a great experience. Just 2 months ago, in Denver, we introduced our new 2014 motorcycles, including the Project Rushmore bikes, and these have generated tremendous excitement from dealers and customers alike. The 2014 model year rollout was the biggest launch of new motorcycle models in the company's history, and we executed the most comprehensive marketing reveal ever to support it. The results at retail speak for themselves. When the initial 45 days at retail since launch, the Rushmore motorcycles sparked the largest year-over-year new model sales increase in 20 years. Sales were up strongly in both the United States and internationally. And it was the best international model year launch ever in terms of initial volume. And these motorcycles sold extremely well among both our traditional core customers in the U.S., as well as our outreach customers consisting of young adults, 18 to 34, women, Hispanic and African-American riders. For each of these demographic groups, the top-selling model year '14 bike has been the Rushmore model. It all added up to a great quarter at retail. The third quarter was big for Harley-Davidson in other ways, too, especially the 110th anniversary weekend in Milwaukee. Just 10 days after the 2014 model year launch, thousands of riders converged on Milwaukee over Labor Day weekend for the kind of huge party and experience that only Harley-Davidson can throw. The event brought riders together from all walks of life including H.O.G. members from Egypt, Taiwan, Greenland, Germany and beyond. In all, more than 40 countries were represented. It was the culmination of a year-long global 110th anniversary celebration on 6 continents that connected millions of Harley-Davidson fans around the world. And it was covered by the media far and wide, resulting in 1.2 billion media impressions for the Milwaukee event alone. The 110th anniversary and the 2014 new model launch were the latest milestones in what has been a great year so far. And as we look at the remainder of the year and beyond, we're excited about the opportunities for the brand and the company. And while we've achieved a lot, we expect to continue to reap the benefits of our product development, manufacturing and retail strategies for the company and for our customers alike. As always, there's more to do and we take nothing for granted. We continue to double down on the progress we've made and remain focused on building a successful business for the long-term. So again, I wanted to just thank all of you for your continued interest and investment in Harley-Davidson. And now I'll turn it over to John Olin to give the details behind the numbers.
John A. Olin: Thanks, Keith, and good morning, everyone. I'll review the third quarter financial results starting on Slide 9. During the quarter, Harley-Davidson, Inc. consolidated revenue was up 7.5% to $1.34 billion. Our third quarter net income improved to $162.7 million, an increase of $28.7 million or 21.4%. Similarly, diluted earnings per share rose to $0.73 per share, up 23.7% from the year-ago quarter. Operating income from the motorcycle segment was $175.5 million, up 21.2% compared to last year's third quarter. The strong increase in the motorcycle business was driven by an 8.4% increase in revenue behind a shipment increase of 2.3% and a favorable shift in mix. Additionally, motorcycle segment operating income benefited from higher gross margin and lower restructuring spending, partially offset by an increase in SG&A. Operating income at Harley-Davidson Financial Services was up 5.1%, behind increased net interest income. The net income also benefited from a favorable tax adjustment in the quarter. In all, we are very pleased with our third quarter financial results. Now let's take a look at retail sales on Slide 10. Worldwide retail sales of new Harley-Davidson motorcycles were up 15.5% during the third quarter, driven by an increase in both the U.S. and international retail sales. Third quarter retail sales results reflected a very positive response to our 2014 model year motorcycles and improved product availability in the U.S. In the U.S., retail sales were up 20.1% versus the third quarter of 2012 and international retail sales were up 6.5% versus prior year, behind improved sales across all region. On a year-to-date basis, worldwide retail sales were up 4.1%. As we look forward to the remainder of the year, we feel great about our brand, our business and our future. We expect continued momentum behind our very exciting model year 2014 motorcycles. On Slide 11, you'll see retail sales in the U.S. were up 20.1% in the third quarter. Retail sales growth in the quarter were positively impacted by the exciting and well-received model year 2014 motorcycles, significantly improved motorcycle availability and relatively easy comps to last year. Our share of the U.S. heavyweight market increased 1.7 percentage points to 56.5% in the third quarter, which represents another record quarter of market share. On a year-to-date basis, retail sales in the U.S. were up 4.1%. We exited the first half of 2013 with retail sales down 2.7%, which was below our expectations for a very weather-challenged second quarter. At that time, we said we believe that a portion of the 2013 selling seasons, retail sales may not be recovered by the end of 2013. Despite the strong third quarter results, we continue to believe that the loss sales in the second quarter of this year will continue to put pressure on achieving the high end of shipment guidance. Turning to U.S. dealer retail inventory. Retail inventory was up approximately 4,200 motorcycles at the end of Q3 compared to 2012. Availability of some new models was very tight in the quarter, which is to be expected following a model launch of this magnitude. We do not believe tight inventory levels on select models will result in loss sales. Overall, we have been comfortable with dealer retail inventory levels throughout 2013. We believe the dealer-inventory levels in Q1 through Q3 are approaching the levels that we believe are aligned with our flexible manufacturing [indiscernible]. We continue to expect Q4 retail inventory to be down compared to last year as we prepare to implement surge production at our Kansas City facility early next year and as we remain committed to aggressively managing supply in line with demand. On Slide 12, you'll see third quarter retail sales in our international markets were up 6.5%. In our EMEA region, Q3 retail sales were up 1.6% driven by our investment in emerging markets, which were up 28.3%. Our European markets remain down by 2.7% on a year-over-year basis. We continued to see some modest growth in the northern Europe country led by the U.K. and Germany, while the southern European companies remain down, Italy posted its first year-over-year quarterly increase after being down for 8 consecutive quarters. During the first 9 months of 2013, our heavyweight market share in Europe was 12.6%, up 0.8 percentage points versus the same period last year. Our market share gains in Europe are encouraging, especially in light of the economic situation and promotional discounting by our competitors. We remain concerned with the ongoing economic challenges in Europe and the potential impact on our European business. We will continue to focus on what we can control, which includes building our brand experience across Europe and expanding our distribution network in emerging markets in the region. In the Asia-Pacific region, retail sales were up 10.0%, driven by strong growth in emerging markets, especially India and China. Latin America region retail sales were up 15.6% driven by Brazil and Mexico. At the end of this quarter, there were 15 dealerships operating in Brazil versus 11 dealerships in the year-ago quarter. Finally, retail sales in Canada were up 7.0% in the third quarter. As we have discussed, we are very focused on investing in our international businesses. We are targeting 100 to 150 international new dealer points through 2014 and, over the last 3.75 years, we have opened 110 new dealer points, with 2/3 being in emerging markets. We are very excited about the growth prospects in our international businesses. On Slide 13, you'll see wholesale shipments of Harley-Davidson motorcycles in the quarter were around the midpoint of our expected range of 51,000 to 56,000 motorcycles, and up 2.3% compared to last year. During the quarter, the mix of touring motorcycles increased 7.6 percentage points over the prior year to support the initial shipments of new Rushmore models and as we lap last year's touring production, which was impacted by the implementation of the ERP system at our York facility. As a total -- as a percent of the total, international shipments were 3.5 percentage points higher than Q3 2012. On Slide 14, you'll see revenue for the motorcycles and related product segment was up 8.4% in the third quarter, including a 10.7% increase in motorcycle revenue largely driven by the strong mix of our touring bikes. During the quarter, we introduced our new 2014 model year motorcycles. Wholesale and MSRP prices have increased by an average of about 3.5%. By region, U.S. prices are up roughly 4.25%; EMEA, up 1.5%; and Asia-Pacific and Latin America, each up about 2.5%. The significant content, which was added to the 2014 model year motorcycles is expected to increase costs by 2.75%, resulting in wholesale pricing in excess of cost of about 3/4 of a percent. Despite the strong revenue and profit improvement that we expect from these pricing actions, it is important to note that we expect our model year 2014 price increase net of related costs will dilute motorcycle gross margin percent by roughly 0.5 point over the next year. For the quarter, average motorcycle revenue per unit increased $1,203 from the prior year period, primarily driven by favorable mix and higher pricing, partially offset by unfavorable currency exchange. On average, our key currencies during the third quarter were weaker against the U.S. dollar by approximately 7% compared to last year. During the quarter, parts and accessories sales were up 7.0%, driven by the success of certain innovative product categories such as LED lighting and audio. General Merchandise was down 12.6% compared to Q3 2012 due to lapping the strong sell in of 110th anniversary apparel and accessories, which began in Q3 of 2012. Turning to restructuring on Slide 15. Since 2009, we have been intensely focused on improving our cost structure and transforming the business to be stronger, more flexible and more profitable. As we exit our restructuring activities, we will continue to focus on improving the retail customer experience, strengthening our world-class distribution channels and accelerating our product development capabilities. We have established a culture of continuous improvements and will continue to look for ways to operate in the most efficient and profitable manner. We continue to expect annual savings in 2013 from all restructuring activities of approximately $305 million and approximately $320 million on an annual ongoing basis beginning in 2014. For the third quarter, we recorded a restructuring expense of $0.6 million versus an expense of $9.2 million in Q3 of last year. We also experienced approximately $3 million in temporary inefficiencies versus approximately $11 million in last year's third quarter. On Slide 16, you'll see gross margin in the quarter was 35.3%, which was 0.6 percentage points higher than last year. Volume, price, mix, raw materials and manufacturing were all favorable for the quarter, partially offset by unfavorable foreign currency exchange. Foreign currency exchange continued to be unfavorable during the third quarter as a result of the sizable devaluation of the Yen, the Real and the Australian dollar on the year-over-year basis. Foreign currency exchange impacted -- impact reduced our third quarter's gross margin by about $4 million or approximately $0.01 of EPS. As we look forward, we continue to expect foreign currency to adversely impact gross profits in the third quarter -- the fourth quarter. Favorable manufacturing costs reflect the benefits from restructuring and lower temporary inefficiencies as compared to last year's third quarter. Manufacturing costs, however, were adversely impacted by higher-than-normal start-up costs for our new model year motorcycles. Start-up costs were approximately $7 million higher-than-normal, driven by the extraordinary level of content added to our new models. On Slide 17, operating margin as a percent of revenue for the third quarter was 14.9%, up 1.6 percentage points compared to last year's third quarter. Operating margin for the quarter was favorably impacted by higher gross margin and lower year-over-year restructuring expense, partially offset by higher SG&A spending. SG&A dollars were up $16.2 million or 7.2% compared to Q3 2012. The increase included incremental spendings to support the Rushmore product launch, the 110th anniversary and continued investment in our growth initiatives. We continued to expect SG&A spending will increase on a year-over-year basis in 2013 as we continue to invest in growth. Additionally, last week, we issued 2 voluntary recalls affecting roughly 29,000 Trikes, Touring and Softail motorcycles. We anticipate a one-time $4.9 million charge to SG&A in the fourth quarter. Now moving onto the Financial Services segment, on Slide 18. In the third quarter, HDFS operating profit increased $3.7 million or 5.1% compared to last year. The 2 primary factors impacting Q3 results were: First, net interest income was up $6.8 million, driven by a lower cost of funds; and second, the change in the provision for retail credit losses was unfavorable by $6.5 million on higher credit loss reserves due to increased receivables and higher retail credit losses. We are pleased with HDFS's third quarter performance. On a full year basis, we continue to believe HDFS's 2013 operating income will be modestly lower than 2012, which benefited from approximately $17 million of 2012 credit loss reserve rate releases. Going forward, we continue to expect pressure on HDFS's operating income as a result of increased competition and modestly higher retail credit losses due to lower recoveries, changing consumer behavior and HDFS's funding of additional subprime loans, which we believe are prudently structured. Finally, while key benchmark interest rates have increased during the year, we continued to believe HDFS is well-positioned to navigate the changing interest rate environment. Given its diversified funding portfolio, we expect higher interest rates to only have a minimal impact on HDFS's earnings in 2013. But we believe rising interest rates will result in compression of HDFS's lending margins over time. Now Larry will provide more detail on HDFS's operations on Slide 19. Larry?
Lawrence G. Hund: Thanks, John, and good morning. During the third quarter, HDFS retail motorcycle loan originations increased 29.9%, or $190.2 million, compared to the same period last year. The increase was primarily driven by higher year-over-year new retail motorcycle sales and a 7.7 percentage point increase in retail financing market share. For the third quarter, HDFS retail financing market share of new Harley-Davidson motorcycles sold in the U.S. increased to 60%, compared to 52.3% in the third quarter of 2012. The primary drivers of the market share gain during the quarter were the pricing changes in the prime segment, which were initiated in the second quarter in response to increasing competition and the strong sales of Touring product. Finance receivables outstanding increased 4.5% compared to a year ago, driven by growth in the retail and wholesale portfolios. We believe the overall loan portfolio is solid, comprised of profitable loans funded in both the prime and subprime segments. In the third quarter of 2013, between 75% and 80% of our new loan originations were prime. Moving on to credit performance on Slide 20. The 30-day delinquency rate for retail motorcycle loans at September 30, 2013, was 3.11% or 13 basis points lower than 2012. This is the lowest third quarter, 30-day delinquency rate in over 10 years. Year-to-date annual retail credit losses increased by 23 basis points to 0.88% compared to 2012, primarily driven by lower levels of recoveries from accounts charged off in prior years. This was expected given the lower level of credit losses in the past few years, which left a smaller pool of potential 2013 recovery dollars. In addition, in the third quarter, HDFS experienced a modest increase in losses due to lower recovery values of reprocessed motorcycles following the launch of our new Rushmore motorcycles. We are pleased with the progress at HDFS, as we continue to maintain a strong liquidity position, deliver a solid credit performance and contribute strong profitability. We remain focused on enabling sales of Harley-Davidson motorcycles, while providing an attractive return to Harley-Davidson, Inc. Now let me turn it back to John.
John A. Olin: Thanks, Larry. Now let's take a look at cash and liquidity on Slide 21. You will see that at the end of the quarter, we had $1.15 billion of cash and marketable securities. In addition, we had $1.56 billion of available liquidity through bank credit and conduit facilities. We currently have and intend to continue to maintain, a minimum of 12 months of projected liquidity needs in cash and/or committed credit facilities. During the third quarter, we repurchased approximately 1.6 million shares of Harley-Davidson stock for $92.8 million. As we have stated, returning value to our shareholders through increasing dividends and share repurchases is a top priority. We will continue to evaluate opportunities to enhance value for our shareholders. Now I'll review the remaining Harley-Davidson, Inc. financials on Slide 22. I would like to highlight 2 items on this slide. First, with regards to operating cash flow, the company generated operating cash of $825.1 million during the first 9 months of 2013. Operating cash flow was up $112.6 million from last year, primarily driven by increased earnings. And second, the tax rate through 9 months was 34.3% compared to 35.3% in the year-ago period. This reflects the benefit of the retroactive reinstatement of the research and development tax credit and an adjustment of the valuation allowance on deferred tax assets in the third quarter of 2013. We now expect a full year effective tax rate to be approximately 34.7%. On Slide 23, you'll see that for 2013, we continue to expect Harley-Davidson motorcycles shipments to be between 259,000 and 264,000 motorcycles on a worldwide basis, up approximately 4.5% to 6.5% from 2012. During the fourth quarter, we expect to ship between 45,000 and 50,000 motorcycles, which is in line with last year's fourth quarter shipments of 47,067 motorcycles. We believe the underlying demand fundamentals for Harley-Davidson motorcycles in the U.S. are strong. However, as I said last quarter, we believe we lost sales volume as a result of poor weather in the second quarter, which will put pressure on our ability to reach the high end of our full year shipment guidance. We continue to expect full year 2013 gross margin will be between 35.25% and 36.25%. As we look forward to the fourth quarter, we expect our gross margin percent will be in line with last year's fourth quarter. Gross margin will reflect the ongoing benefits from restructuring savings and lower temporary inefficiencies. However, as we have discussed, production will be lower than last year's fourth quarter as we prepare to implement surge manufacturing in Kansas City earlier next year. Q4 mix is expected to be unfavorable as we lap the higher-than-normal 46% Touring mix at last year's fourth quarter due to the Q3 2012 ERP implementation. We also expect currency exchange to have an adverse impact on the fourth quarter gross margin. And finally, we expect Q4 gross margin percent will reflect the dilutive impact of our model year 2014 price increase net of related costs. Capital expenditures in 2013 are expected to be between $200 million and $220 million. Looking back, we are pleased with our third quarter results and our key accomplishments. During the quarter, we launched the most significant new model year in our history, celebrated our 110th anniversary in Milwaukee and delivered shareholder value through dividends and share repurchases. We continued to position the company for the long-term success by remaining focused on executing our growth strategies and delivering strong margins, strong returns and value to our shareholders. Thank you for your continued confidence and investment in Harley-Davidson. And now let's take your questions.
Operator: . [Operator Instructions] Your first question comes from the line of Felicia Hendrix from Barclays.
Felicia R. Hendrix - Barclays Capital, Research Division: If we could -- if I could just ask a question on gross margins for a moment. I really appreciate all the color that you've given, it's very helpful. Just wondering if we could understand a bit -- how long you think it might take to just get up to learning curve on the new bikes? And then, you gave us color on the fourth quarter, I know you don't like to give guidance, I'm not asking for guidance. But just wondering if you could kind of frame for us some, perhaps, some pluses on the gross margin side to think about next year. And I'm asking specifically because the Street has almost a 90 basis point improvement in gross margin expectations for next year.
John A. Olin: Okay, this is John. Thanks, Felicia. With regards to -- I think the first question was centered around gross margin in the third quarter. And in the preamble, we had talked about increased costs in the third quarter due to starting up the Rushmore model year. So given the complexity, the size, the number of models of both Rushmore and ABS on our Sportsters and some of the other models that we introduced, we had higher-than-typical startup costs of about $7 million. So on a year-over-year basis, the quarter benefited from lower temporary inefficiencies in terms of restructuring. We had $11 million in the prior year versus $3 million this year, and a lot of that favorability was really taken up by the fact that the startup costs were higher than they typically would be. They are up to speed, the plan is up to speed, and we don't expect any additional costs or that's -- so kind of a one-time startup for Rushmore. We don't expect any costs on a go-forward basis. As we look at next year's gross margin, we'll provide more guidance in our Q4 conference call. But on some of the positives that we anticipate for next year, certainly the pricing and incremental volume that we would anticipate, some of the headwinds may continue to be currency and then perhaps raw material costs. But again, we'll give more insight to that at the end of the first quarter conference call.
Operator: Your next question comes from Kevin Milota from JPMorgan.
Kevin Milota - JP Morgan Chase & Co, Research Division: I was hoping you could just clarify, John, the negative impact from the model year '14 bikes. Was it 50-basis-point negative impact on the gross margin front?
John A. Olin: It was about -- thanks, Kevin. With regards to the startup cost, about $7 million would have been -- about 60 basis points, 6/10 of a margin point.
Operator: Your next question comes from the line of James Hardiman with Longbow Research.
James Hardiman - Longbow Research LLC: I guess, a follow-up to that last question. Could you help us frame what the net pricing impact would have been to gross margins in the third quarter? It sounds like that was a negative. You gave us that for next year, or over the next year, what that negative impact was. Can you help us out with that, in the third quarter? And then, I guess, just also from a capacity perspective, the guidance that you gave us for the fourth quarter, is that the extent of what you could possibly produce? Or if you see some upside to retail, could we potentially see upside to shipments in the fourth quarter?
John A. Olin: Thanks, James. So we talked about net pricing. Number one is, it has a dilutive impact on gross margin percent, but we shouldn't talk about this in a negative light. We have increased our revenues by 3.5% with our model year 2014 pricing. Now with that came higher cost at about 2.75%. So net of -- pricing net of cost is up 0.75%. So basically, when you look at 0.75% increase in profit and 3.5% increase in revenue, that comes out to a gross margin of about 21%. And given the fact that the business operates at a 35.25% to 36.25% gross margin percent, it is a somewhat dilutive of that gross margin. So James, what you had asked is how much, that's about 50 basis points, about 0.5 point of gross margin. Now again, with that, we're getting a fair amount more revenue and more profits and certainly delivering more value to our shareholders. But it is a slight drag on gross margin that we saw in the third quarter, and we'll see again in the fourth quarter and the first half of next year as well. The second question that you asked is with regards to capacity. When we look at our shipment guidance in the quarter of 45,000 to 50,000, we're certainly taking into consideration surge manufacturing coming up at Kansas City in the first half of next year, and are looking to take overall retail inventories down, meaning that we will retail more this year -- our dealers will retail more this year than we ship in. With regards to capacity, we have certainly plenty of capacity in the fourth quarter that, if we needed to or chose to, that we could made more units.
Operator: Your next question comes from the line of Craig Kennison with Robert W. Baird.
Craig R. Kennison - Robert W. Baird & Co. Incorporated, Research Division: With the new products, the strong retail trends and what we think is lean inventory, you would seem to be in a position to allocate your inventory to those dealers that are kind of optimizing your priorities. How much flexibility do you have in terms of inventory allocation in an environment like this?
John A. Olin: The overall inventories, we feel good about where we're at in terms of inventory. We are seeing some tightness in select models, in particular, Rushmore models. We've got an allocation system that we believe is fair to all our dealers and we continue to execute against that allocation system.
Operator: Your next question comes from the line of Rod Lache with Deutsche Bank.
Rod Lache - Deutsche Bank AG, Research Division: I was hoping that -- you've commented before on the 50% incremental margin that you expected in the motorcycle business, and I was just hoping that you might be willing to reconcile that to the gross margin bridge that you provided on Slide 16, presumably, which takes some -- take the volume and take the manufacturing and maybe add back in the $7 million of startup costs. But your motorcycle revenue was up by $90 million. Your motorcycle revenue ex parts and accessories is up $83 million. So can you just walk that for us?
John A. Olin: From a directional standpoint, Rod, when we look at that bridge on Page 12 and translate it into gross margin percent, right, you see the overall dollars setting adding up to the $38 million, volume would be -- have no impact on gross margin percent. Motorcycle pricing is unfavorable by about 0.5 point in terms of gross margin percent, even though it's delivering $10 million of profit to the organization. Mix would be slightly favorable; currency, slightly unfavorable; raw materials, slightly favorable; and then manufacturing, considerably favorable. That $9 million doesn't have a revenue component, so that would provide about a benefit of 8/10 of a gross margin point. So when you take all of those and add them together, you're up about 6/10 of a point versus prior year.
Rod Lache - Deutsche Bank AG, Research Division: Okay. But when you've historically talked about a 50% incremental margin on the incremental dollars that come in from your growth, I would...
John A. Olin: Yes. So what we've said is that for each incremental unit that we sell, that typically has a gross margin of about 50% versus the core business that's at 35% and 36% -- 35.25% to 36.25%. Most of that, Rod, would come through in the manufacturing piece. So that's where the absorption is of the fixed costs of manufacturing.
Rod Lache - Deutsche Bank AG, Research Division: Okay. So you had that manufacturing of $9.3 million, but it was really, if you add back the $7 million, it's like $17 million; and you had volume benefit of $4.8 million, so you get up to, like, $21 million. But your revenue was up something like $90 million. So is there -- is that something that is not necessary holding right now because of relatively modest volume changes, or how should we be thinking about that?
John A. Olin: No, it's certainly holding. The $4.8 million, though, is strictly on volume. It has nothing to do on margin, so would not come down and be reflected at all in that manufacturing line. In the manufacturing line, the way to think of it is there is 4 main buckets. There is productivity, which includes a restructuring savings; there is incremental margin based on the increased production, not necessary shipment, but increased production; there is the year-over-year impact of temporary inefficiencies, which is favorable $8 million; and then there is startup costs that are unfavorable by $7 million. All that together winds up to be $9.3 million. And when you divide that by the revenue, it's adding 8/10 of a gross margin point on a year-over-year basis.
Rod Lache - Deutsche Bank AG, Research Division: Okay. The inventory built that you were -- you talked about, is that basically entirely attributable to the Rushmore units? And can you give us any kind of color on the -- how significant are the sales of discontinued models like the Road Glide at this point at retail?
John A. Olin: At retail, for the -- the quarter end, we had about 4,200 units higher in inventory, and the majority of that would be Touring motorcycles: One, because the overall split is pretty significant in touring; and number two is that's certainly the success of those models in preparing for sales into the fourth quarter and beyond.
Amy Giuffre: He asked about the discontinued models.
John A. Olin: So the discontinued models are Road Glide. We had -- with Rushmore, we came out with 8 models; on a year-ago basis, that's comparing to 10 models. We took 2 models out of the lineup, which are Road Glide Custom and Road Glide Ultra, which represent, on an annual basis, about 10% of overall -- or I'm sorry, of Touring volume in 4% to 5% of our total volume. When we look at the third quarter, in terms of retail sales, we had pretty brisk retail sales of the Road Glide. So I would say that in the third quarter, when you're looking at retail sales, we're not seeing a headwind from Road Glide at this point, and we'll start to see that in the fourth quarter and first and second quarter of next year.
Operator: Your next question comes from the line of Tim Conder of Wells Fargo Securities.
Timothy A. Conder - Wells Fargo Securities, LLC, Research Division: Just a couple of items here. John, a lot of people have asked about gross margin. And clearly, I mean, at the Analyst Day, you and Keith alluded that the Rushmore benefit would be to the first half of 2014, but then the back half of the year you'll sort of get some normalization after that. So how can we think about gross margin cadence with the restructurings being over on a longer-term basis? And then secondly, with your excess free cash flow here, are -- you're going to start talking about a payout ratio target, or is all the incremental free cash going to be returned to shareholders after Mr. Buffett's repaid in February of '14?
John A. Olin: Okay. With regards to our gross margin, as we look forward, again, we expect gross margin in terms of incremental volume, pricing, and those are the main drivers. When we look at Rushmore, Rushmore should provide mixed favorability in the short term. But on a long-term basis, we would expect mix to be flat over time, as we continue to develop products for both our core customers and our outreach customers. When we look at a return of capital to our shareholders, what we are -- we're not basing it off or not providing a payout ratio. But what we have said and will continue to do is return all excess cash to our shareholders in the form of rising dividends or share repurchase. Tim, you had mentioned that we do have a large debt coming due in February of next year, that's $303 million of high-interest debt that during the downturn we borrowed from Berkshire. And that will be paid out of operating cash, and we will not look to refinance that.
Operator: Your next question comes from the line of Greg Badishkanian from Citigroup.
Gregory R. Badishkanian - Citigroup Inc, Research Division: I'm guessing from your commentary on the new product -- new products that you did not see a drop-off in sales in September, is that correct? And then also, when you talked about the benefits of gross margins in 2014, you mentioned incremental volume; does that mean that the volume growth rate is going to be faster in 2014, or you're just saying that than it was in 2013 or is it just an increase year-over-year?
John A. Olin: Thanks, Greg. We typically don't comment on growth rates within a quarter. Sufficient to say that we were certainly pleased with the overall growth of retail sales in the third quarter, I mean the U.S. being up 20.1%, and certainly, international up 6.5%. When we look at volume growth...
Amy Giuffre: The next question that you had, Greg, was on the 2014 gross margin?
Gregory R. Badishkanian - Citigroup Inc, Research Division: Yes. Well, yes, on the -- Well, you mentioned that 2014, you'd see incremental volume that would contribute to or benefit the gross margins for 2014. So does that mean you're just -- yes.
John A. Olin: I'm sorry. Yes, Greg, we will look to provide guidance in the fourth quarter conference call late January. We're not going to provide any guidance at this point.
Gregory R. Badishkanian - Citigroup Inc, Research Division: Okay. I was just wondering, when you said incremental volume, what you meant by that? Was it just you're going to see an increase year-over-year or was it a faster growth rate than 2013? I just want to understand what you meant by...
John A. Olin: I was not talking to any comparative growth rates we would expect to grow next year, and we'll provide that.
Operator: Your next question comes from the line of Patrick Archambault with Goldman Sachs.
Patrick Archambault - Goldman Sachs Group Inc., Research Division: Just 2 quick ones from me. First on HDFS, would it be possible to at least give us a directional walk about how you are thinking about it? I think you mentioned that net interest margins could compress a little bit because of some of the pricing. Then I imagine you have positive origination volume, and I'm not sure what you think of credit. So maybe kind of putting those pieces together for us as you see them. And then my second quick one is; it doesn't sound like the recall had much of an impact on production in the fourth quarter, but can you just clarify that for us as well?
Lawrence G. Hund: Okay, Patrick. This is Larry Hund to just talk a little bit about HDFS both on the kind of the volume margin side and then on the credit side. On the -- clearly, we had a strong market share this quarter. There is a lot of competition out there that we are seeing, and clearly, we made some pricing adjustments, and that helped us drive that share. So you're making sort of a volume margin trade-off there. Over time, I think, as John said, what we expect is, rising interest rates are going to put some pressure on margins in the business. If you look back historically in this business, your margins tend to widen out in sort of a falling or absolutely low interest rate environment, and then they narrow some when you get into a rising rate environment. On credit losses, I think we feel very good about where we are right now. We were 88 basis points year-to-date, and I think we feel good about that. I think, over time, we expect credit losses to normalize in that level. If you look kind of at our 10-year average, it's certainly higher than where we are for the first quarters.
Keith E. Wandell: Yes, and this is Keith. Patrick, you asked a question about the impact of the recall on production, there really will not be one. I mean, we had a slight delay in some shipments. We had some product in the plant in queue for shipment that had to go in and do the fix on, so that delayed some shipments by about a week. But overall, when you wash through this thing, there really will not be a delay.
Operator: Your next question comes from the line of Sharon Zackfia of William Blair.
Sharon Zackfia - William Blair & Company L.L.C., Research Division: I wanted to kind of take a step back, since we're almost done with the restructuring, to talk about kind of where the potential is for Motorcycle operating margin to go over time. You've clearly seen good improvement last year and it looks like you'll have a 16%-plus kind of Motorcycle operating margin this year. So can you kind of walk through, longer term over the next 3 to 5 years, where you think that post-restructuring Motorcycle margin target could be?
John A. Olin: Thanks, Sharon. What we've said is, over the next 3 to 5 years we expect gross margin to expand modestly. We're not providing a hard number at this time. As you know, there is always puts and takes to these things. You take the first half of this year, and currency exchange has been about 0.5 point drag on overall gross margins. So it's something that we're not providing you a long-term hard number. But again, when you look at the various pieces of it, we would expect incremental margin, and certainly, pricing to benefit us into the future. While the restructuring savings will -- we still got about $15 million left that will be realized next year. There is still a lot of opportunity that we have in terms of the cost structure at Harley-Davidson: Number one is, is on continuous improvement. The whole system that we put in is designed to deliver continuous improvement into the future. And then the other big area is transformation that we've had in product development and the opportunity to continue to design out costs out of our motorcycles, and we thought the team did a wonderful job this year. When you look at Rushmore, and while the costs were up 2.75%, the content that we added is well beyond that type of cost increase. So we think there is tremendous opportunities in terms of continuing to focus on the cost structure, as well as the revenue side. And when we look at the revenue side, again, we talk about our overall strategy, kind of the "fatten-the-tail" [ph] strategy to continue to bring in customers on both sides. Certainly, we did that with Rushmore on the core customer side of the scale, and you'll continue to see as we move into the future, a lot more effort on the outreach side as well.
Sharon Zackfia - William Blair & Company L.L.C., Research Division: Maybe if I could ask the question a different way. I mean, prerecession, you had Motorcycle operating margins that were over 20%. I mean, is that something where you think that is fundamentally possible again in the model and is the key delta there just recouping the volume?
John A. Olin: We believe that we can continue to expand margins into the future, modestly at gross margin, and we'll expect to get continued leverage off of certainly the SG&A base. And as we look into the future, we will not grow SG&A at the same rate of revenue, and therefore, drive margins. Beyond that, we look to -- we feel great about our margin expansion. Sharon, every morning, 6,000 people wake up here and they're focused on delivering a customer experience, generating the products to drive that, as well as to improve our gross margin. So we're completely focused on delivering it and we will deliver it, but I will not provide a number at this time.
Operator: Your next question comes from the line of Gerrick Johnson with BMO Capital Markets.
Gerrick L. Johnson - BMO Capital Markets U.S.: Can you talk about the consumer reaction to the Twin-Cooled bikes, a pretty big deal? Was it to what you were expecting, better, softer? And being that it was only 3 of the 8 new units, how that impact your mix? Did you see more demand for limiteds versus Ultras and Streets, or the other way around?
Keith E. Wandell: This is Keith. The response has been very positive, not only on the precision-cooled engine, but on a lot of the changes that were made on Rushmore. I mean, all these changes, and there were probably roughly 100 changes -- some big, some small, were all driven by the voice of the customer. Right. That was all driven by things that the customer has been asking for and looking for, et cetera. And really, there hasn't been a noticeable change in the mix, necessarily. All of the Rushmore bikes have really sold very well. If you look at, as an example, in Germany, other significant sale, [Audio Gap] Rushmore, just because of the technology as an example, and that's a market where you think about the brakes, the radio, the luggage, the ergonomics, that's a market that's highly focused on technology. There's a saying in Germany, "Germans love their cars, Americans drive their cars", and that translates to the motorcycle business as well. So I think all of the changes that we've made with Rushmore listening to the voice of the customer, not just the U.S. customer, but the international customer, are paying tremendous dividends for us.
Operator: Your next question comes from the line of Adam Jonas with Morgan Stanley.
Yejay Ying - Morgan Stanley, Research Division: This is Yejay in for Adam. Just a couple of quick questions. I think, you mentioned that HDFS recoveries took a bit of a hit this quarter, potentially because of the introduction of the Rushmore models. Can you comment a bit more broadly on what you're seeing in the used market? And then another one on HDFS. Have you been in contact with or received any communication at all from the CFPB on lending practices?
John A. Olin: This is John. I'll start off with the first part of it and talk about used prices in general, and then Larry can handle the second part of the question. Any time that we come out with the new model year, we certainly see a devaluation of the old ones out there. Another model year goes by, right, and they become a little bit older. And certainly, this is no difference in terms of that devaluation. But we are seeing a bit of a greater devaluation, which we would expect, given the extreme content that we've added to the motorcycles. So we are seeing the bikes being devalued still pretty early. We do not have any concerns from the Motorcycle segment perspective, is that why that price gap is expanding. The content that we've added more than makes up for any of the decline in overall used bike prices. Now that's a little bit different, and I'll let Larry comment on it. It does have an adverse impact when you look at the collateral aspect of it.
Lawrence G. Hund: Sure. When you look at recovery values on repossessed motorcycles, those have actually dropped some, I think, as we said; and that has to do -- I think, dealers with the great introduction of the Rushmore line, are a little more focused on new motorcycle sales right now, and we've seen a little bit of drop-off in some participation at some of the auctions. But overall, nothing that's been out of line with what we expected given that great new model year launch. Regarding your comment on the CFPB, we have not had any contact with the CFPB. We actually have a banking subsidiary, so we're regulated by the FDIC. But certainly, we are watching what's going on in the market very closely and their contact with other lenders, and we are working to tighten our controls and -- because, obviously, this is an area that's very important to us, very important to our dealers.
Operator: Your final question comes from the line of Jaime Katz from Morningstar.
Jaime M. Katz - Morningstar Inc., Research Division: I want to piggyback on to that debt maturity question some earlier. I know there is another piece of debt due at the end of next year. Are you guys going to look to refinance that do you think? Or how should we think about the optimal capital structure going forward? And then secondly, I think general merchandise category, while it's small, it was down pretty significantly this year, or this quarter, could you just comment on that?
John A. Olin: Yes. Hi, Jaime. This is John. The debt that we have coming due in February, the $303 million, is corporate debt. That'll pay off 100% of our corporate debts. And we've historically run without debt on that side. We picked it up during the downturn. When you talk about the $500 million, 7.75% MTN that's coming due in December of 2014, that is part of the core funding for the finance subsidiary. So we would absolutely look to replace that debt. And as the interest rates stand now, we would look to replace that at a lower interest rate, that was at 5.75%. So when we look at the overall capital structure, as we look into the near future, we don't expect any debt on the motorcycle side, but we'll continue to fund the portfolio at HDFS, including that MTN that will be coming, we'll refinance that next year.
Jaime M. Katz - Morningstar Inc., Research Division: Second question was on general merchandise.
John A. Olin: And general merchandise for the quarter was down by 12.6%. 100% of that decline is explained by the year-over-year impact of the 110th anniversary sell-in. So every 5 years, we have this anniversary, which is highly anticipated, and the apparel is no different. So we come out with a whole line of 110th anniversary or anniversary apparel and accessories. That is sold in the year prior. So that was sold in in the third quarter of 2012, and this quarter, we're simply lapping that. And again, 100% of the decline is explained by the year-over-year difference between 110th anniversary product.
Amy Giuffre: All right. Thank you, everyone, for your time this morning. The audio and visual support for this call will be available at harley-davidson.com. The audio can also be accessed until November 6 by calling (404) 537-3406 or (855) 859-2056 in the U.S. The pin number is 69184133#. We appreciate your investment in Harley-Davidson. And if you have any questions, please contact Investor Relations at (414) 343-8002. Thanks.
Operator: This concludes today's conference call. You may now disconnect.